Operator: Good day and welcome to today's Colgate-Palmolive Company Fourth Quarter 2019 Earnings Conference Call. This call is being recorded and is being simulcast live at www.colgatepalmolive.com. Now for opening remarks, I'd like to turn the call over to Senior Vice President of Investor Relations, John Faucher. Please go ahead John.
John Faucher: Thanks, Aaron. Good morning, and welcome to our fourth quarter earnings release conference call. This is John Faucher. Today's conference call will include forward-looking statements. Actual results could differ materially from these statements. Please refer to the earnings press release and our most recent filings with the SEC, including our 2018 annual report on Form 10-K and subsequent SEC filings all available on Colgate's website for a discussion of the factors that could cause actual results to differ materially from these statements. This conference call will also include a discussion of non-GAAP financial measures, including those identified in tables 8 and 9 of the earnings press release. A full reconciliation to the corresponding GAAP financial measures is included in the earnings press release and is available on Colgate's website. Joining me this morning are Noel Wallace, President and Chief Executive Officer; and Henning Jakobsen Chief Financial Officer. I will begin with some thoughts on our performance in 2019, before moving to our 2020 guidance. We made meaningful progress in 2019 on our path to returning to sustainable profitable growth. As we said at the beginning of 2019, we increased investment behind our brands and in the capabilities that are required to deliver growth in our changing global markets. We also implemented changes in how we work to streamline our processes and drive empowerment to make us faster. Those strategic choices have started to pay off. As in 2019, we delivered net sales growth in excess of our initial guidance and organic sales growth at the high-end of our initial 2019 guidance range of 2% to 4% and within our long-term target range of 3% to 5%. On a non-GAAP basis, we delivered earnings per share within the guidance range we gave you at the beginning of the year, while our GAAP earnings per share were in excess of initial guidance. Our free cash flow was up 7% in 2019, due to improved working capital performance and discipline on capital spending. We delivered this performance despite some headwinds from economic uncertainty in markets like Mexico, Brazil and India. And importantly, we delivered on our commitment to return to growth in China, delivering organic sales growth in both the third and fourth quarters. So how do we drive better growth in 2019? Our continued focus on innovating around the core of our business, driving growth in adjacent segments, and expanding our availability in faster growth markets and channels is paying off. We successfully re-launched several of our core franchises. On Colgate Total, we delivered that brand's fastest organic sales growth in several years led by key markets like the U.S., Brazil and Mexico. Sales continues to deliver strong growth with major contributions coming from the Science Diet re-launch. In North America, Hill's delivered double-digit growth in Q4, while cycling a double-digit comparison in the year-ago period. We have more core innovation to come in 2020, especially on key oral care and personal care brands. Our performance in faster-growing adjacencies has been a significant contributor to our improvement in 2019. We delivered growth with new products that appeal to consumers' preferences for products that are more natural and sustainable. We have driven sales and market share growth with our charcoal toothpaste and bamboo toothbrush launches around the world and Sanex Zero% continues to grow as well. In skin health, EltaMD and PCA skin both achieved double-digit sales growth for the year. We acquired Filorga in Q3 and we are excited to announce that earlier today we closed our acquisition of the Hello Oral Care brand. These acquisitions should also contribute to growth going forward. A quick note on Filorga, we are currently reporting Filorga on a one-month lag. So the fourth quarter includes Filorga results only from the closing of the deal in mid-September through the end of November. When we transition Filorga to SAP, we will line up our reporting calendars. Our focus on availability in the faster-growth markets and channels has seen us deliver very strong growth in pharmacy, club, cash and carry and especially e-commerce. Our e-commerce organic sales grew 30% in 2019, and we established a new direct-to-consumer business with Hill's to Home, which provides a fast and easy way for veterinarians to sign patients up for prescription diet. It's a new subscription model that increases compliance. We're leveraging the learning's from Hill's new venture into our direct-to-consumer efforts across the rest of our business. We also made significant inroads on sustainability during the year. We launched the first of its kind recyclable toothpaste tube certified by the Association of Plastic Recyclers, which is now available in both Europe and North America. As of 2019, we have received TRUE Zero Waste certification on 16 facilities and we earned our highest recognition ever from the Dow Jones Worldwide Sustainability Index taking the lead in our industry sector for the first time. Our fourth quarter performance reinforces the progress that I just laid out. We delivered our fifth consecutive quarter of sequential acceleration in organic sales growth and we returned to gross margin expansion and delivered leverage on our overheads. On a GAAP basis, our gross profit margin in the fourth quarter was up 100 basis points. Excluding the impact of charges from our global growth and efficiency program and acquisition-related costs, our gross profit margin was up 80 basis points. For the fourth quarter, pricing was favorable to our gross margin by 60 basis points. Raw materials were unfavorable by 270 basis points, almost entirely offset by productivity from our funding the growth initiatives of 260 basis points. Other, primarily mix from Filorga was favorable by 30 basis points. Our advertising spending was up 13% for the fourth quarter, finishing up 6.5% for the full year. In the fourth quarter, excluding the charges from our global growth and efficiency program and advertising, our SG&A was down 70 basis points year-over-year as we benefited from operating leverage, productivity savings and lower logistics costs. So as we close the door on 2019, our focus is to advance on this progress through 2020. For 2020, we expect net sales growth of 4% to 6%, driven by organic sales growth in the 3% to 5% range, consistent with our long-term targets, a 1% to 2% benefit from the acquisitions of Filorga and Hello and a modest negative impact from foreign exchange. We expect gross profit margin expansion in 2020 driven by the underlying business as well as the mix benefits from Filorga. We expect positive pricing and the continued strength of our productivity initiatives to more than offset modest raw materials inflation. We will continue to invest behind our brands to maintain organic sales growth, not just in terms of advertising, which we expect to be up year-over-year, but also in building key growth capabilities in areas like innovation and data and analytics. We expect to drive leverage through the rest of our cost base through a combination of topline growth, cost discipline, productivity and mix. These investments are crucial not only to sustain organic sales growth, but also to get our market shares growing again. Our growth in non-measured channels is very strong and this is a key part of the strategy we've talked about all through 2019. And we are focused on improving our overall share performance. This is particularly true in North America, where we think a share turnaround in track channels is still a few quarters away. Accelerating our innovation efforts, particularly in premium segments will be the key factor in delivering better market shares. Interest expense should be up slightly in the year due to the increased debt from Filorga and the Hello transactions. We expect our tax rate to be between 24.5% and 25.5% on both a GAAP basis and excluding acquisition costs. On a GAAP basis, based on current spot rates, we are planning for a mid to high single-digit increase in earnings per share. Excluding charges resulting from the global growth and efficiency program, acquisition-related costs, the benefit from a value-added tax matter in Brazil and the benefit from Swiss income tax reform in 2019, based on current spot rates, we are planning for a low to mid single-digit increase in earnings per share. At this point, it seems certain that there will be a negative impact from the coronavirus on our businesses in China and the total company for at least the first quarter. While we expect it to be temporary, it is still too early to quantify the impact. And therefore, this has not been included in our guidance. We expect to be in a position to provide an update at CAGNY as well as on our first quarter call. We believe our plan for this year appropriately balances our improved performance, our need to sustain organic sales growth, our focus on driving cost out of our P&L and the uncertainties that exist in a fairly volatile world. And here to give you his thoughts on 2020 is Noel.
Noel Wallace: Thanks, John, and Happy New Year, everyone. As John discussed, we made meaningful progress in 2019. We grew volume in organic sales in every division. We delivered organic sales growth in all four of our categories, Oral Care, Personal Care, Home Care and Pet Nutrition. In our Oral Care, business we grew organic sales mid-single digits in the year, led by our toothpaste business. And we closed out the year with our highest quarterly rate of organic sales growth in more than three years. But we know we're in 2020 now and we have more work to do. So here are my thoughts on our top three priorities for this year. The first is premium innovation to drive growth. We delivered successful innovation last year by focusing on our core adjacencies and new channels, but markets, categories, consumer preferences are changing and premium is winning, still a lot of opportunity for us in whitening, lifestyle, therapeutic, new forms in pet like wet and importantly in products that are more sustainable and more natural. We're deeply excited about the Hello acquisition given the potential we see for that brand on top of our core business. And obviously skin health is a big area of opportunity for us. Lastly, while we've improved our speed of innovation, we need to get faster. We are aggressively cutting the time it takes innovation to reach the market and you'll see that play out over 2020. Our second priority is becoming more digital and data-driven in everything we do commercially. Continuing on innovation to get faster, we need to use digital tools to replace our traditional testing methods in order to speed up our innovation. We're using analytics to more effectively target our digital spending and drive a higher ROI. We're accelerating our e-commerce business by becoming more data-driven. We're sharing learning across our businesses and geographies and we're co-locating Colgate and Hill's businesses to share best practices and drive efficiencies. And finally, delivering productivity across the P&L through new ways of working. Digital plays a part here as well. Projects like our global move to S/4HANA will allow us to simplify and standardize processes and move resources toward areas that drive real growth. In our supply chain, we have opportunities for more automation and robotics to drive more savings and we're enhancing our productivity culture, so our Colgate employees can continue to deliver our best-in-class funding the growth program, along with tackling other cost opportunities to drive efficiencies. So, those are our top three priorities we're focused on for 2020, more premium innovation to drive our growth, digital and data to make us faster and smarter, productivity to drive our margins. And now I'll be happy to take any questions.
Operator: And ladies and gentlemen, today’s question-and-answer session will be conducted electronically for the telephone audience. [Operator Instructions] We'll take our first question from Steve Strycula with UBS.
Steve Strycula: Hi, good morning. So my first question would be is how should we think about with the inclusion of new brands such as Hello, how do we think about your ability to manage category assortment within oral care as you kind of build this forward? I think John mentioned a desire to premiumize some of the North American business in his prepared remarks. So how do we think about names say Colgate returning to growth in the United States and balancing that with growth platforms such as Hello and Tom’s?
Noel Wallace: Yeah, Steve thanks, and good morning. So, clearly as you look at our portfolio around the world, we have had a history of managing multiple brands and doing it quite successfully. Obviously the Tom's brand here in the U.S. has been a successful growth driver over the last couple of years. And what's so exciting about the Hello brand is given its positioning it really complements our entire portfolio extraordinarily well. It's obviously on a lifestyle type brand and a free form type positioning SKUs are very high amongst millennials and Gen Z where some of our other brands don't perform now. So as we look to manage this brand particularly in North America and around the world, we think it's uniquely positioned in terms of delivering incremental growth to the core franchise. As we saw in 2019, we continue to accelerate oral care growth across the business. And last year it was one of the better years we've had on oral care particularly in toothpaste. And so we're very excited about what Hello is going to bring to the business. We've shown historically we know how to integrate acquisitions and run brands and portfolios with multiple brands in them and that will be the case for us in 2020 with Hello.
Operator: We’ll go next to Lauren Lieberman with Barclays.
Lauren Lieberman: Thanks. Good morning. So very interesting that you did not give a gross margin target for 2020. So I wanted to know if you could just address that change if we should think about that as maybe being a bit of a different approach at Colgate, whereas, gross margins has always been held up as a must have. So if you can just talk a little bit about that that would be great. Thanks.
Noel Wallace: Sure. Good morning, Lauren. Listen, there's a lot of unpredictability in the world we live in today, a lot of volatility whether it be raw and packed materials, whether it be foreign exchange, a lot of mix play, a lot of geography mix play as well. And while we still have laser focus on driving gross margin and as John outlined in his commentary, we plan to grow gross margins in 2020, we felt it was important to really focus on the continued priority, which is driving top line growth and delivering the EPS guidance that we provided to The Street this morning. As far as gross margins go, we believe the mix opportunities that we have, obviously, bringing brands like Hello into the business, the skin care focus we have, all of those complementing our productivity, funding the growth initiatives will allow us to continue to accelerate gross margins.
Operator: We'll take our next question from Dara Mohsenian with Morgan Stanley.
Dara Mohsenian: Hi, good morning guys.
Noel Wallace: Good Morning.
Dara Mohsenian: So we've seen a clear rebound in organic sales growth of the company. But so far it's been a bit uneven with pet and emerging markets businesses accelerating substantially both for the full year but also in Q4, but not a strong results in North America and Europe. So I was just hoping you could compare and contrast the impact from your strategy changes on those two separate areas. Is there anything you've learned in emerging markets and pet you can apply to North America and Europe? And any green shoots there in North America, Europe or when at least should we expect to see improvement particularly in light of the comments that the track channels in North America may take some time to turn? Thanks.
Noel Wallace: Thanks Dara. So let's take a step back on the overarching strategy that we've been deploying over the last 12 to 18 months, which is obviously focused on our core, driving adjacencies and exploring and operating differently with our new -- with different channels. And you've seen that obviously play out in the acceleration of organic growth. And as we said in the upfront statements, we accelerated growth across all of our geographies, all of our divisions in that regard and obviously all of our categories. So we think the underlying strategy on how we're executing that around the world is doing quite well. Now, obviously, as you pull out different geographies, Europe categories are a bit slower, different competitive base. Obviously we've got a very strong business there with both the Colgate franchise and the all mix franchise. And the strategy that we just articulated we are executing really well there. Shares are pretty good across Europe on our business. And as we talked about earlier, Total performed very, very well particularly in the U.K., which is one of our largest markets. So overall we're optimistic on where we see Europe going relative to some of the strategies we're deploying. But bear in mind, the categories aren't growing nearly as fast in Europe as they are in the rest of the world. Categories in emerging markets are basically in our categories growing at about 2 times to the developed part of the world. So again, you would expect both North America and Europe to be at a slower pace in terms of top line growth. Relative to North America, obviously there's a lot of work being done from the team on how we're turning around that business. We're currently not at the potential that we see for that business as we speak. We're very, very focused on transforming how we think about innovation. There'll be a lot more focus on premium as we go throughout the year. Most of that will be back-half weighted. The team under John looks leadership is really rethinking on how we look at innovation from a structure standpoint, how we look at it from a premium standpoint and we have some good R&D technologies coming down the pipeline that we think will continue to accelerate growth. But we're going to fix North America the right way. Obviously, we're disappointed with the progress that we made in the fourth quarter, but I have to say based on the plans I've seen, we're really encouraged on where they're going. We're not going to buy our share back. We're going to do things in terms of making sure that we have long-term sustainable growth in that business and driving the premium piece of the business is the key focus.
Operator: We'll move next to Jason English with Goldman Sachs.
Jason English: Hey, good morning folks and happy belated new year.
Noel Wallace: Hi, Jason.
Jason English: I guess, I want to come back to one of the pieces that Dara highlighted that's performed well and that's pet food. Really impressive growth. I guess the key question is one of durability because it's been -- it's been a long time since we've seen this type of growth. We are hearing from tractor supply yesterday and I know they're not the hugest retailer, but they're one of the more vocal ones that they're looking to reset their shelves and give some brands that have turned positive more space, give some of the legacy grain-free brands less space. Are you seeing that same shift? And do you expect it to bet at you? And is it a reason to believe that we can continue to see this type of momentum as we track to 2020?
Noel Wallace: Yes. Listen, we're obviously very pleased as you've seen in the numbers with Hill's. And this harkens back to kind of the cornerstone of our strategy across the company which is focusing on the core, which we've seen terrific growth on Science Diet as we rolled out across North America. We will be rolling the Science Diet relaunch, we started in the late 2019 in Europe and that will expand to the rest of the world in 2020. We looked at adjacencies obviously, as we're getting into the core. And the channel expansion that we had both in farm and feed as well as e-commerce, really sits well with how confident we are with the strategy that we're executing around the world. Now specifically on the durability of that business aside from the fact that they continue to have a strong pipeline of innovation coming the Science Diet rollout will go throughout the rest of the world in 2020. Take the U.S. as an example. We delivered double-digit growth in the fourth quarter on the Hill's business last year and we delivered another double-digit growth this year in fourth quarter, so given the size of that business, I think a clear indication that the durability is there. Now there's no question the comps will get more difficult as we move forward. So we need to continue to focus on the things that we do really well which is the innovation piece of the business, executing against new channels and exploring new adjacencies, which I mentioned in some of my up growth comments about the opportunities we see in wet moving forward.
Operator: We'll move next to Andrea Teixeira with JPMorgan.
Andrea Teixeira: Hi, good morning everyone. So I wanted to know if you can explore more -- you took us through Europe in a bit of North America. But as embedded in your guidance, you're thinking of a more balanced growth in between North America and developing markets. And if you can also elaborate a little bit more obviously we've got the coronavirus impact, but the Asia Pacific volumes have been coming back since March quarter since the third quarter and then the fourth quarter. And if you continue to see momentum there. And in LatAm, if you can still see a more balanced volume pricing growth as you roll out the more premium products there? Thank you.
Noel Wallace: Thanks. So let's talk a little bit about emerging markets. As you well know, we do 70% more or less 70% of our revenues outside the U.S. So we're very focused on emerging markets. And as I mentioned earlier, the emerging market growth rates at least in our core categories are growing at a healthy pace above where we see the developed part of the world moving. So organic growth of 5% in emerging on the year versus 3% in developing obviously is consistent with what we'd like to see the profile of our organic growth moving forward given the strength that we have in emerging markets. Latin America specifically doing well, Mexico doing well in Brazil. Categories are in the 4% to 5% rate there. We should -- obviously there's some uncertainty on where Mexico is going given the fact that they are technically in a recession. And macroeconomics in Brazil seem to be improving. We'll see how that unfolds over time. But the business is quite solid in Latin America and the category seem to be holding up pretty well. Moving on to Asia. Obviously very pleased with another quarter of organic growth and we seem to be getting on track. But as we've said, the turnaround in Asia is going to be -- is going to take some time. While we saw good growth in the back half of the year, this is a long-term strategy that we're executing in Asia to get the portfolio right, to get the go-to-market right and get the innovation structure right, particularly as we look at how we innovate on the growing e-commerce channel. The coronavirus there's not much more to add on that. First and foremost, we're very pleased that all of our employees are safe. We are very focused on that. We have mobilized the supply chain to look at all contingency planning relative to production should the implications of the virus extend beyond the current dates. And we're intending to come back to everyone with more information at CAGNY. Africa is one we don't talk about a lot. Obviously, we had issues in that business 18 to 24 months ago. You've seen I think the durability of the strategy play out in the Africa numbers, where we've seen consistent growth. Importantly, one of our largest markets South Africa had a good back half. And so the categories as well as our business in that important geography seem to be performing quite well.
Operator: We'll take our next question from Steve Powers with Deutsche Bank.
Steve Powers: Great. Thanks. Maybe first just to clean up on North America. I know you said, you wouldn't buy your way back to share strength. But the pricing and profitability there this quarter just came in below our expectations. So maybe you could help unpack what happened in the quarter and whether that will carry over until at least the first half of 2020? My main question more broadly, just if you could maybe just the play across your skin care businesses and that category has been accelerating. Just would love a little bit more context from you about how your various brands are performing against expectations. And then also just a comment on your appetite to do more in skin care, whether prioritizing organic investment maybe expanding brands like Tom's or even Hello in that direction? Or obviously pursuing additional M&A? Thanks.
Noel Wallace: Sure. Sure, Steve. On the pricing bear in mind that in the fourth quarter of last year we were not promoting quite frankly at all across most of our toothpaste franchise given the preparation for the launch of Total. So the comps were obviously very difficult for us in the fourth quarter this year versus where they were in the fourth quarter last year. We also had a bit of mix both in the category and the channel mix that impacted the margins in the quarter. Moving forward, as John mentioned in his comments, the work that we're doing to prepare for long-term sustainable growth in the U.S. consistent with our strategy and very focused particularly in the U.S. around premium innovation, most of that will kick in, in the back half of 2020. Relative to skin care, we're very pleased. You heard in the upfront comments those businesses are growing double-digits and we intend to continue to focus and accelerate our investment in those categories as we move through the balance of 2020. And they've got a good innovation pipeline and we're obviously very carefully thinking about our expansion into new geographies. What we do see is significant upside in the geographies in which we currently compete. Obviously, China is a big piece of the skin care business both for Elta and for Filorga, so we'll have to – we're on a wait and see in terms of the impact of the coronavirus on our business there. Filorga, specifically has a good travel retail business, so we'll see how that unfolds moving forward. And as it relates to M&A, listen we've got between Elta PCA and Filorga, we think the right skin care assets right now. Obviously, if something came across that really got our attention then we would consider it. And with the acquisition of Hello, we're tremendously excited in terms of the growth potential there. We think we're right where we need to be in terms of M&A but never say never.
Operator: We'll take our next question from Nik Modi with RBC.
Nik Modi: Yes, good morning, everyone. I was hoping you can provide some compare and contrast. I mean, Hill's has been doing very well after struggling for a bit. And so I just wanted to hear your thoughts on what happened to Hill's and kind of how you think about the core Oral Care business in terms of kind of the progression and evolution of some of the strategies that you've been putting in place?
Noel Wallace: Sure. Again relative to the strategy that we're deploying across the world which is core adjacencies and channels, Hill's is hitting on all cylinders in that regard. The other important area that we see that they have a unique advantage in is how they're thinking about the business digitally and how we're focused very much on now embracing analytics to use to drive our e-commerce business, which was incidentally up almost 40% in the quarter. So they're hitting on all the right things right now and they've got obviously good growth plans moving forward. But as I've said, the comps get more difficult. The good news is obviously the prescription diet business, which is an important part of that business. We have strong innovation coming down in 2020 and we think we're well positioned, obviously given some of the impacts of the recall that we had in 2019 to recover from that moving forward. Obviously relative to the learnings we have on Hill's, as I mentioned, likewise in my upfront comments, we're seeing great benefits by combining our teams, particularly around digital and e-commerce on the ground to share learnings and really maximize efficiencies in terms of how we look at digital, how we buy digital and how we execute against the data that we're learning from Matt. Hill's is quite advanced in that and sharing those learnings broadly across the Colgate business will pay dividends for us.
Operator: We'll go next to Rob Ottenstein with Evercore ISI.
Rob Ottenstein: Great. Thank you very much. I think you mentioned, e-commerce overall up 30%; Hill's almost 40%. Can you perhaps kind of just give us a sense of what's going on in e-commerce on the Oral Care side? And particularly, in the U.S. market and in China, what kind of growth rates you're seeing? What percentage of the business is e-commerce? Kind of initiatives you're doing? And most specifically on China you started to touch on it, but love to get a little bit more granularity in terms of whether you have the right brand portfolio, the right price points, whether it's a question of technology relationships with the large e-commerce providers to really get the Chinese e-commerce business rocking and rolling? Thank you.
Noel Wallace: Sure. So, pleased with e-commerce overall. As John mentioned, we were up 30% in the year. This is a fluid business that you continually bring new learnings and which is great about the business, because it's so data-driven, you're able to ascertain, what's working, what's not and act upon that pretty quickly. So we're thinking quite differently among how we structure ourselves around e-commerce with fully independent teams managing that business, so they can take -- that they're empowered to make decisions and taking those decisions very live rather than having to wait for that. So that's certainly benefiting us both on the oral care side or the Colgate side as well as Hill's side. The Colgate business was up significantly last year in the U.S., our e-commerce business was up just shy of 40%. Shares ticked up again. Remember we have a very strong Tom’s of Maine business. Hello will come into the franchise now, which is quite strong on e-commerce as well. And the Colgate business is driving that nice growth. As we look at China specifically, we're starting to develop much more strategic relationships with some of the big platforms there, whether it be Alibaba or JD. We're looking at structuring ourselves differently in order to ensure that we're getting -- partnering with them in a very different way not only in terms of the data side of the business, but likewise on the innovation side of the business where we're going to need to really focus on the premium side, which I mentioned and collaborating with some of our big partners and having the flexibility to do things a bit more uniquely we think will bode well for the business moving forward.
Operator: We'll take our next question from Olivia Tong with Bank of America.
Olivia Tong: Great. Thanks. First on North America, just as you think about the remediation actions you're taking there, what's your view on margins? Because they've obviously come in pretty dramatically. So you talked about the focus on premiumization. Do you think going forward the margin gets better because of the premiumization? Or is this sort of a certain level of investment is now here to stay.
Noel Wallace: Thanks Olivia. Sure. Listen the margins improved in the fourth quarter obviously from where they were in the third quarter. As I talked about, we had some more difficult comparisons given the promotional environment a year ago. We have seen a little bit of a step-up in promotional in the toothpaste category particularly around couponing as we've seen some of our competitors increase their values in that space, but we'll manage that very carefully. As I mentioned earlier, our focus is getting back to durable sustainable growth and premium innovation is at the heart of that and the premium innovation will obviously be accretive to the margin as we move forward, as we continue to push the mix in that area. Obviously, the move towards naturals and lifestyle brands, Naturals with Tom’s of Maine, which will increase the investment behind that business will help margins. The lifestyle brands like Hello, as we continue to push that business, which incidentally today only has a 9% awareness in the U.S. market. So as we put more investment behind that, and we continue to expand the distribution, obviously, that will play out nicely for the business as well. The advertising is meant to obviously create long-term sustainable growth for us and we've seen that obviously play out holistically and globally on the top line and North America will get its fair share as we continue to rebuild that business moving forward. But again, we're going to do that the right way focused on innovation and making sure that we're building the brands for the long-term.
Operator: We go next to Kevin Grundy with Jefferies.
Kevin Grundy: Thanks. Good morning everyone. Question for you on the company's ability to drive greater leverage between the top line and earnings as we look beyond 2020. So clearly this was an investment year. You're getting the top line payback, which is encouraging, but EPS down mid single-digits as you look out to next year up low to mid single-digits relatively in line with the mid single-digit -- excuse me, low single -- excuse me, mid single-digit top line that you're guiding to organically. Understanding FX is a little bit of a component there a little bit of a headwind. But will investment levels be adequate for the company as best you can tell as you look at your budget and you look at your guidance now. So as you get beyond 2020, should the investment community expect a return to high single-digit EPS growth where you're able to get better leverage once investment levels are adequate? Thanks.
Noel Wallace: Yeah. Thanks Steve. We're not going to obviously guide beyond 2020 at this stage. But let me talk a little bit about leverage and productivity and how we're thinking about it. First and foremost, as we've been very consistent with our strategy around reinvigorating top line growth and driving sustainable organic growth, you've seen that obviously sequentially through the last five quarters and the best leverage we're going to get through the P&L is as we deliver the top line. Obviously, we'll see where foreign exchange goes. We believe it will be a little less punishing than it has been in the past this year. But again, with the unpredictability of the environments that we compete we shall see. As I mentioned in the upfront beyond premium innovation, which will obviously drive the top line and the leverage through the P&L, we are very, very focused on productivity across the entire P&L. We have a list of projects that we're thinking through. We're obviously looking at productivity delivered through technology and the discussions I had around S4 and on how we leverage the simplification efforts that will come from that and the standardization that will come from that. So we're very focused on that. The supply chain, likewise, looking as I mentioned to use robotics and automation very differently moving forward. We're looking at segmentation of our facilities around the world to drive more efficiencies in the plants. So, productivity is right in our focus right now. And as we drive the top line, we'll see that productivity move through the P&L. Most of that productivity particularly for North America we'll see that coming through in the back half of 2020.
Operator: We move next to Mark Astrachan with Stifel.
Mark Astrachan: Thanks and good morning, everybody. Wanted to ask about Hello kind of specifically in M&A strategy broadly. So, what does Hello give you that you couldn't have done with your own brands? And I guess just more broadly, what's driving the increase in M&A over the last year or so as you've taken over? How do you describe the company's ability to handle digest multiple deals. And once I get that they're small but there's a lot more going on here than there has been. Thoughts on doing more deals. Can you take on more at this point potentially even something larger should that materialize? And maybe how do you think about the leverage targets although not necessarily specific to M&A but just kind of broadly since there's certainly not a lot of leverage on the balance sheet at this point?
Noel Wallace: Yeah. So thanks Mark. So I mentioned upfront that markets are changing, categories are changing, consumers are changing, and we've seen that disruption certainly peak out very aggressively in Asia, and particularly China and we've seen a lot more of that in North America over the last 18 months. And so as we look at our business, we're obviously looking to position our brands in areas, where they can best compete. And as we look at our portfolio strategies, we obviously can't be a one brand for all particularly given the disruptions, you're seeing in the marketplace. And if we see the right opportunity for complementary brands within our portfolio, particularly in Oral Care, we will seek to go after those. And Hello was a perfect, perfect fit for us relative to its unique positioning in terms of millennials and Gen Z, which is not a strength of the Colgate franchise. It obviously complements it well – itself very well with Tom’s. Hello is a very lifestyle-oriented brand, where Tom’s is a very core natural-oriented brand, so we think it fits well and we're going to run the business independently. We're going to run the business differently and not bring it into the Colgate business. So we're very fortunate to have Craig and Lloyd coming over to the business. I think some of you have met them. You know the strength of their leadership. You know the strength of their marketing, instincts and how they think about brands. We fully intend to use both of them across the Colgate business around the world to help us think about innovation very, very differently. And I think Craig will be a wonderful ambassador for us as we think about, how we're transforming our innovation approach to the market. As I mentioned, earlier we're very comfortable with the M&A that we've made, where we continue to be able to deliver against those. We have a track record of delivering successfully against M&A. And I think the reason is we're very focused. We let the business run independently. We maintain their cultures, but we offer them all the opportunities to flex the Colgate machine so to speak relative to synergies, best-practices, training, you name it and that we'll continue to do that with Hello.
Operator: We'll move next to Bill Chappell with SunTrust.
Bill Chappell: Thanks. Good morning.
Noel Wallace: Hey, Bill.
Bill Chappell: I don't – taking a year to look back on the total re-launch especially in North America, but also kind of worldwide. I mean, what would be your grade of it just from the Super Bowl commercial to the money spent there. And I understand that it was in part done you needed to kind of restage the platform before you rolled out new products this year. But just trying to understand, especially in light of kind of the fourth quarter North American results how good – was this in line with expectations? Could the money been spent elsewhere? Just kind of your color would be great.
Noel Wallace: Yeah. Thanks, Bill. So listen we took a 10% price increase on that business and we held that price increase through the year. And if you take a big core franchise like Colgate Total that's probably the best pricing performance, we've had in the better part of the decade. So from a pricing standpoint, we're quite excited. And we've had the fastest growth on Colgate Total in over three years. So that in its own suggests that the relaunch was successful. Did we have slightly higher expectations in certain geographies? Sure. But our big markets like the U.K., like Brazil, like Mexico where we have high shares we did very well in North America perhaps delivered against our expectation. Our volume share was okay. But recall, we downsized that brand and perhaps we would have done a little bit differently given some of the learning's we have through the launch. But overall, it drove the brand, it drove the equity, and we had a good year on oral care.
Operator: We'll take our next question from Ali Dibadj with Bernstein.
Ali Dibadj: Hey guys, thanks. So regarding your 2020 guidance, I'd love to better understand the lack of top-line growth leveraging into your bottom line. And if you back it out, it feels like it would suggest something like another up to 100 basis points call it maybe 75 basis points of reinvestment into the business again in 2020. And so in that context, I'd love to get a sense of how you assess the return on that spend given what you've seen so far in 2019 particularly on market share. The market share continues to decline as you put it out in your press release not getting better. You still have the U.S., Brazil, Mexico, France, China, India kind of your core areas still losing share. So love to hear how you think about the returns in that overall context?
Noel Wallace: Good. Well, let me take the latter part of your question first. I think the returns and the results Ali, obviously, a 5% organic in the fourth quarter, sequentially up from the fourth. And as we've discussed and you have highlighted that for quite some time the need to continue to invest behind the business. We think we've that played out relative to the organic performance that we delivered. On the 2020 guide, obviously, just a couple of mechanics through the P&L, the Filorga as a full year on a percent of sales advertising, obviously, much higher and adding a bit to the overall advertising line. But as we mentioned upfront, we have a strong focus on premium innovation and we want to continue to accelerate the investment behind our brands and our businesses in order to deliver long-term sustainable growth. It's early days right now. Obviously we've got a lot of work to do this year. It's only January, a lot can change relative to the macros. You see a lot of uncertainty. We'll see where China plays out. Brazil, Mexico likewise as I mentioned earlier, India a little bit of softness obviously in the real markets we're seeing. So we think the guidance from where we are today and where we sit is absolutely appropriate in terms of how we're thinking about the business. And as we move throughout the year, we'll continue to update that as necessary.
Operator: We'll take our final question today from Lauren Lieberman with Barclays.
Lauren Lieberman: Oh, great. Thank you. I just wanted to follow-up on Asia in general, not seeking about outlook for China and coronavirus in particular at all. But when you look back, Asia had the best volume performance I think since 2015 and the best pricing performance in 2014. So just at a holistic level if you could talk a little bit about, sort of, again ex-coronavirus sustainability and what types of things have really triggered that uptick and if you're thinking about that as being like a new base level for the performance you can have out of the region? Thanks.
Noel Wallace: Thanks Lauren. There was also an earlier question on our portfolio in China. I remind the audience that we, obviously, have the Colgate franchise and the Darlie franchise that delivers our leadership market position in China. Both those businesses continue to perform well, particularly the Darlie business came back nicely in the fourth quarter. Was able to launch again focused on our strategy, premium innovation particularly around some -- you'll be surprised to hear baking soda products have now become very, very popular in China and are being sold at premium prices and that's certainly helped deliver not only the pricing but the volume. On the Colgate side as I mentioned earlier we're in the midst of a long-term turnaround here. We still got a lot of work to do relative to that business. We're pleased with where we saw the business perform. We had a good 11/11 again behind premium pricing. Our miracle repair product, our volcanic products that we launched in the quarter delivered good volume and good pricing. As you look outwards, obviously, we'll see the impact of corona and what happens in China, it's going to be very difficult at this point to predict the sustainability of where we are right now given the implications of that. But we're certainly structuring ourselves and putting the fundamentals in place to deliver long-term sustainable growth in those markets.
Operator: And at this time, I'll turn it back to management for any additional or closing remarks.
Noel Wallace: So, no, thank you everyone. Obviously we'll see everyone at CAGNY. I look forward to having more discussions there. And for all the Colgate people that are listening, let me wholeheartedly thank you for your incredible support and work for the last year and we look forward to your continued focus in 2020. Thanks everyone.
Operator: Ladies and gentlemen, this does conclude today's conference. We thank you for your participation. You may now disconnect.